Operator: Good day, ladies and gentlemen, and welcome to the Altair Nanotechnologies Third Quarter Financial Results. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, this call will be recorded. I would now like to introduce your host for today’s call, Mr. Tom Laughran, you may begin. Okay, Mr. Laughran, you can go ahead and read the statement.
Tom Laughran: Okay. Thank you and welcome to today’s Altairnano 2013 third quarter conference call. I have been asked to make the following statement. The statements in this conference call that relate to future results, markets, growth plans or performance are forward-looking and involve certain risks and uncertainties, including those associated with uncertain demand for our products and services, the early stage development of many of our products and services and related markets and other risks identified in the company’s SEC filings, including its most recent Annual Report on Form 10-K and quarterly reports on Form 10-Q. Actual results, events and performance may differ materially. Conference call participants are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date of this conference call. Altair Nanotechnologies undertakes no obligation to update these forward-looking statements to reflect events or circumstances after today’s date or to reflect the occurrence of unanticipated events. I’d now like to turn the call over to the company’s Chief Executive Officer, Richard Lee, and the company’s Chief Financial Officer, who is joining us from Anderson, Indiana, Paula Conroy; and the company’s CEO is joining us from his business trip in China. Richard?
Richard W. Lee: Yes. Thanks, Tom. Good morning, everybody. Welcome to our third quarter earnings call. Today, I am joined by our new Chief Financial Officer, Ms. Paula Conroy. This quarter is our first quarter with the company. I will start by saying, both Paula and I are soon to be part of the Altairnano family. We both joined the company knowing that there are many challenges facing this organization. However, we were drawn to Altairnano, because of the opportunities. Personally, I have been impressed by the passion and commitment of our people. We all believe in the company’s mission and its superior technologies. Before moving to the results for the third quarter, I want to reinforce that growth of the company has not changed, although there were changes in the management team. The company is still pursuing its core mission as to be a leading global provider of energy storage systems. To that end, we remain focused on; first, streamlining our supply chain by concentrating operations in China; second, focusing our sales efforts and market development to drive growth; third, reducing our costs to maintain a competitive position in the commercial market. With that introduction, here is where we stand today. The construction of this facility is complete and our LTO manufacturing facility began production in the third quarter. Our energy storage assembly plant is scheduled to begin production later this year. In order to more rapidly transition to production, key members of our USA R&D and engineering teams are also in China, working with local teams to ramp up as quickly and efficiently as possible. Our LTO equipment originally located in Reno, Nevada, has been installed in the Wu’an production facility. Moving on to the second area of focus. In the U.S., selling efforts has been focused on the energy storage system with several exciting opportunities in the company’s pipeline. Together with the transportation and industrial segments, the potential new business pipeline for 2014 on the runway basis will be substantially more than our previous years. This includes new orders from existing customers as well as business from new customers. Although the company may not secure all opportunities in the sale pipeline, revenue projections continue to outpace historical results. The USA sales team is responsible for Europe, where several of the opportunities are particularly promising. We expect to get some of the opportunities will be in the first quarter of 2014. Additionally, we continue the progress on securing key contracts and supply agreements in the U.S. In China, the electric vehicle market continues to show promises with new government incentives. We have many discussions with bus manufacturers wanting our battery products. Moving on to the last area of focus. We actively sort way to reduce costs. Prior to this quarter, the company has taken steps to reduce its cost. We are now seeing the benefits of these efforts. General and administrative cost in the U.S. has now stabilized. We will see some additional efficiency with the consolidation of the accounting and finance groups into the Anderson headquarter. With most manufacturing transferred to China and production poised to [indiscernible], cost efficiencies will soon be realized. I will now turn it to Paula and then we’ll be happy to take questions after the discussion. Thank you. Paula?
Paula J. Conroy: Thank you. Okay. Thank you, Richard, and good morning, everyone. Before I begin the results of the quarter, I’d like to say that I’m excited to be here. For the past several years, I’ve been working with small to medium sized organizations both public and private, the common denominator is they’re growing and facing challenges trying to transition to the next phase of their evolution of balancing cash constraints. The work is challenging, but it’s always rewarding. When I met Richard and the team in Altairnano, I felt the chemistry of something on the verge of being great, and in the last two months, I’ve spent considerable time getting to know our U.S. team both in Reno and here in Anderson, and I traveled to China. While our operations in Reno are winding down to a minimum, our China team is growing. I am excited by the people I’ve met and the vision for the organization. And with that, let me outline the results of the most recent quarter. For the third quarter ended September 30, 2013, revenues were $1.1 million, compared to the third quarter of 2012 revenues of $360,000. Gross loss was $74,000 in the third quarter of 2013, compared to $428,000 in the third quarter of 2012. Operating expenses were $3.6 million in the third quarter of 2013, compared to $4 million for the same period in 2012. The net loss for the second quarter of 2013 was $3.7 million or $0.32 a share, compared to the net loss of $4.7 million or $0.40 a share for the same period in 2012. The basic and diluted weighted average shares outstanding for the third quarter of 2013 remained constant at $11.6 million, compared to the same period of 2012. Revenues were increased by $772,000 in the third quarter of 2013, primarily due to increased battery cell sales to several customers. Gross loss was decreased by $354,000 in the third quarter of 2013, primarily due to a decline in warranty and inventory reserves of $140,000. Given the company’s relatively low volume of sales and the changing product mix from quarter-to-quarter, margins are volatile until the volume increases, [indiscernible] caution. Operating expenses were decreased by $329,000 during the three months ended September 30, 2013, compared to the three months ended September 30, 2012. This decrease was primarily due to the planned reductions achieved in the U.S., partially offset by the increases in headcount in our China operation as it begins to ramp up. Net loss was decreased by $926,000 in the third quarter of 2013, primarily due to the overall decrease in operating expenses and improved gross margin. Altair’s cash and cash equivalents decreased by $9.1 million from $12.4 million as of December 31, 2012 to $3.3 million as of December 30, 2013. The net decrease of $9.1 million resulted from the net decrease in operating activities of $7.6 million, the net decrease in investing activities of $11.7 million and the net increase in financing activities of $10.7million. The investing activities included the acquisition of the second land use right from the Government of Wu’an, China, which was paid for by using restricted cash, and the purchase of fixed assets by Northern Altair. The financing activity included the increase of deferred income due to receiving $5.5 million in cash incentives from the purchase of the first land right use. Our overall cash position, including restricted and long-term restricted classifications was $18.8 million as of June 30, 2013. We had submitted an application for cash incentives from the Government of Wu’an in an amount approximately equal to the amount of the second land use fee and related taxes of $8.6 million. We received $3.8 million in the third quarter and expect to receive the balance of the cash incentives from the Government of Wu’an in the fourth quarter of 2013. With that, I’d like to turn it back over to Richard Lee. Richard?
Richard W. Lee: Tom, we’re ready for some questions.
Operator: Thank you. (Operator Instructions) Okay. Our first question comes from David – I’m sorry, our first question comes from David Anderson. Your line is open. I’m sorry, one second – William Morrison from Oppenheimer & Company. Your line is open.
William D. Morrison – Oppenheimer & Co., Inc.: Hi, gentlemen. Just one question, what do you envision the cost per kilowatt hour to be going forward and will you reach cash flow break-even on a volume basis and on a unit basis? That’s it.
Richard W. Lee: Paula, can you answer that question for me, please?
Paula J. Conroy: Actually, I’m not sure I can write off at the top of my head, I apologize. The casualty is being new to the company, but with our streamlining of the operations in China, we expect that number to be driven down as soon as production ramps up and we expect that to start in early 2014.
Richard W. Lee: Yes. It’s a good possibility that we can do there.
William D. Morrison – Oppenheimer & Co., Inc.: Okay. And then so what volumes you need to break-even?
Richard W. Lee: We are in different kind of industries. We’re just talking about energy storage.
William D. Morrison – Oppenheimer & Co., Inc.: Right.
Richard W. Lee: And the number may be bigger and we’re just talking about transportation on the supply of battery modules to companies like Proterra, then the volume will be much, much lower. So I guess let’s say very high equation does give you even above four-part figure, okay, and I think if you are really serious about this and we can [indiscernible] working out and even e-mail it to you although we have done some calculation.
William D. Morrison – Oppenheimer & Co., Inc.: Okay. That’s good, also any new applications that you are being evaluated for especially in Europe other than the applications?
Richard W. Lee: On energy storage, I see that in performance, actually we are better than a lot of our competitors and we are really looking forward to the future. right now, we are actually doing actually a gentle factory sale. We can actually successfully do it, then certainly we have the world market to us is very significant improvement on performance, okay. So in – both Paula and I are relatively new in the company, but we’re already planning many new ventures for the company, that’s what we can tell you at this point in time.
William D. Morrison – Oppenheimer & Co., Inc.: Okay, thank you.
Unidentified Company Representative: Yes.
Operator: Thank you.
Unidentified Company Representative: Any other question?
Operator: Yes. Our next question comes from David Munson, he is a Private Investor. Your line is open.
Unidentified Company Representative: Yes, go ahead.
Unidentified Analyst: The cash you are receiving from Hebei Province in China.
Unidentified Company Representative: Yes.
Unidentified Analyst: It’s going to be focused sustained, your operations going forward?
Unidentified Company Representative: I’m sorry, go ahead.
Unidentified Analyst: Can you be a little bit more specific, we are doing very well in the Hebei Province and I’d say the recent employees for more than 10 days, we don’t do many wonderful things, okay. And we can produce quite a lot of big quantity of our LTO materials that you can apply to using noted strap charging batteries and also we are planning actually doing a very large manual production, which making us maybe in the largest production of LTO materials in the world and that’s what we are attempting to do and…
Unidentified Analyst: What best place, are you going to have…
Unidentified Company Representative: Pardon me.
Unidentified Analyst: Are you going to have to raise more money in America to do this.
Unidentified Company Representative: We of course hope to raise more money, but business actually has supported by the government in China and that’s actually the reason why we have to plan over there. This is – I would say this is the China element concept, which is not actually – because totally we’re going to have very strong incentive on the government both the central government and also local government, okay. The land to us is much cheaper and we can also buy our raw materials cheaper in China and the equipment of course, is cheaper. and in the end, we can produce very good LTO materials in low price than in any of our competitors. And so this is what we are trying to do. And I think in the next quarter, we’re going to actually going to tell you a long more exciting news with effects. Okay. But it’s a little bit early to say at this point in time.
Paula J. Conroy: Mr. Munson, maybe I can answer your question from a little bit different direction.
Unidentified Analyst: Yes.
Paula J. Conroy: We will be able to meet our short-term needs with the funds that we have and we have available to us and some of those recognition are coming through our subsidiaries in China. Longer-term, we’re going to need to access some additional capital to get to our overall long-term growth plans, but the timing and structure of that had to be determined, but we will definitely be keeping you posted on additional funding opportunities as we are pursuing.
Unidentified Analyst: Thank you very much.
Operator: Thank you. Our next question comes from Patrick Utter. Your line is open.
Unidentified Analyst: Good morning. I got a couple of questions. Number one, how many different potential customers are you talking to in the energy storage sector and in the vehicle sector and how many of them are actually trying out our batteries at this time and also once production does ramp up, how many batteries will you be able to do today?
Richard W. Lee: On the list of customers, and we talked about the customers in the USA, but in fact, the larger market for us could be new look and even though Germany, because they’re closing down all their – these plants. Now the – so we’re going to have significant market in Europe, and recently, we are sending a number of our sales team going to Europe, going to Poland, Germany, England. and so that’s going to be a very substantial market for us. And in the U.S., we’ll continue to have a number of very big names in both the energy storage usage and also transportation usage. Regarding the number of – you’ve been talking about the number of – we actually focus on the production of our LTO materials. And the plan we are right now actually moved from nano to China is 150 ton per year. So while we are now claiming actually, it’s much, much larger plan 20 times bigger, amounting to 3,000 tonnes over LTO material a year, this is what we are planning to do. You are talking about a number of sales or let’s talk about the size of the possible cell manufacturing. We are planning right now a cell manufacturing facility, something like at least 30 million MKW/hour [ph] each year, but this is in the plant, okay, this not a natural construction that’s yet. I don’t know whether that answers your question.
Unidentified Analyst: Yes. Sort of, also with Proterra, can you give us an update as to how many orders they’re putting or giving us for new batteries?
Richard W. Lee: They are planning – well of course, it’s the confidential information. They are trying quite a number of buses for 2014 and our production can easily satisfy their requirement. That’s what I can tell you, because their projection is confidential.
Unidentified Analyst: Okay.
Richard W. Lee: Yes.
Unidentified Analyst: And also in China itself, are we going to be supplying any batteries to any vehicle manufacturers in China?
Richard W. Lee: Yes. We are talking about quite a larger number. We are talking integral part numbers in the thousands, okay. And again, I cannot exactly tell you the number, but that will be impugning the thousands, not in hundreds, in the thousands, because recently, China introduced a new incentive [indiscernible] will have a subsidy or incentive of $80,000 per bus and that’s a new incentive just issued in late September of this year.
Unidentified Analyst: Thanks and do you expect these new contracts to be announced in the first quarter of 2014?
Unidentified Company Representative: Definitely, because at this point in time there are a lot of things we cannot tell you in exact numbers, but we are making an announcement in the next two or three weeks, so you will be hearing from us very regularly from now on. I am sorry that we have not been updating actually our news press release, but from now on what I promise that would go into actually have regular news release every two weeks.
Unidentified Analyst: Very good, thank you very much I appreciate your information.
Unidentified Company Representative: Yes.
Operator: Thank you (Operator Instructions) we have a question from David Anderson, a Private Investor, your line is open.
Unidentified Analyst: Since ever you’re selling electric pipe valve meter?
Unidentified Company Representative: Your line is not clear.
Operator: I’m sorry, he has dropped.
Unidentified Company Representative: Yes.
Operator: (Operator Instructions) I am showing no further questions, I would now like to turn the call back to Richard Lee, ALTI’s CEO.
Richard W. Lee: Yes, Tom, there are no other questions. Do we call this a close?
Tom Laughran: Yes, thank you everyone for joining today’s call. We look forward to updating you in the coming weeks in our next quarter’s conference call. Thank you everyone.
Richard W. Lee: Thank you.
Operator: Thank you.